Operator: Good afternoon. And welcome to the First Quarter 2014 Earnings MPLX LP Conference Call. My name is Brandon, and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn it over to Mr. Tim Griffith. You may begin, sir.
Tim Griffith: Okay. Thank you, Brandon. And welcome to MPLX’s first quarter 2014 earnings webcast and conference call. The synchronized slides that accompany this call can be found on mplx.com under the Investors tab. On the call today are Pam Beall, President of MPLX; and Don Templin, Chief Financial Officer. We invite you to read the Safe Harbor statements on slide two. It’s a reminder that we will be making forward-looking statements during the presentation and during the question-and-answer session. Some forward-looking statements may relate to MPLX’s sponsor, Marathon Petroleum Corporation. Actual results may differ materially from what we expect today. Factors that could cause actual results to differ are included here, as well as in the filings of both MPLX and Marathon Petroleum with the SEC. Now, I will turn the call over to Pam Beall.
Pam Beall: Thank you, Tim, and welcome, everybody. Thanks for joining us. Our MPLX reported solid first quarter results that demonstrate consistent earnings and cash flow generation. This performance and acquisitions have enabled us to continue to increase distribution substantially to our unitholders. Our Board of Directors declared a distribution of $0.3275 per unit for the first quarter. This distribution represents a 20.2% increase over the first quarter of 2013. On March 1st, MPLX acquired from our sponsor a 13% interest in MPLX Pipe Line Holdings LP for $310 million. This increased our ownership interest in Pipe Line Holdings to 69% from the 56% we help previously. This is the second acquisition since our initial public offering. In addition to earnings and cash flow from increased tariff revenues and acquisitions, we are pursuing organic investments in MPLX to grow the partnership and to support an attractive distribution growth profile for our unitholders of an extended period of time. MLPX continue to advance the planned Cornerstone Pipeline in Southeast Ohio that will enable us to bring liquids production from Utica shale to Marathon’s Canton refinery. Surveying of the proposed route is in progress and MPLX anticipates right away ethane purchases to commence during the second quarter of this year. MPLX is progressing plans for our non-binding open season in the third quarter this year to determine shipper interest in the pipeline. Construction of the pipeline is anticipated for 2016 with an in-service date by the end of that year. If there is sufficient condensate production, Cornerstone could serve as the foundation for other organic projects to ship excess condensate to Western Ohio and Canada. As we have said in the past, our stock to Marathon Petroleum intends to use MPLX as the primary growth vehicle for its midstream business. We continue to explore other organic growth opportunities that will provide desirable cash flow characteristics for MPLX as the partnership grows. Additionally, MPC has a significant number and variety of midstream assets which could be dropped down into MPLX to help us achieve our long-term distribution growth objectives and this portfolio continues to grow. Now, I’d like to turn the call over to Don Templin to review the financial results for the quarter.
Don Templin: Thanks Pam. The waterfall chart on Slide 4 shows the change in net income during the first quarter 2014 on 100% basis compared to the first quarter of 2013 as well as the adjustment for the interest retained by Marathon Petroleum. The primary drivers for the increase in our net income with the recognition of revenue related to volume deficiency credits arising from deficiency payments received last year and higher average tariffs received on the volumes of crude oil and products shipped. While our crude and product pipeline throughputs were lower than projected, minimum volume commitments from MPC allowed us to maintain a stable stream of cash flow to MPLX to fund our distributions. These deficiency payments are included in distributable cash flow in the current accounting period but are classified as deferred revenue in the financial statements. Revenue is recognized when the credits are used, expire or can no longer be utilized. Turning to Slide 5, distributable cash flow for the first quarter 2014 was $37.7 million compared to $28 million during the first quarter of 2013. As we discussed last quarter, although the MPC deficiency payments did not immediately enter into the determination of income, they are included in the distributable cash flow for the quarter. During the first quarter of 2014, MPC did not ship its minimum committed volume on MPLX pipeline systems. Included in distributable cash flow attributable to MPLX for the quarter was $7.7 million of deficiency payments from MPC that was not included in net income or adjusted EBITDA. Adjusted EBITDA attributable to MPLX included $11.5 million of revenue resulting from recognizing volume deficiency credits that were generated in the prior quarter. The total cash distribution for the first quarter will be $25 million. Based upon the distributable cash flow, this represents a coverage ratio of approximately 1.5x compared to our target coverage ratio of 1.1x. Our coverage ratio will fluctuate from period to period, primarily due to the seasonality in maintenance spending and the timing of dropdowns in acquisitions. Slide 6 provides adjusted EBITDA and distributable cash flow by quarter for MPLX and continues to highlight the stability and growth of distributable cash flow over time. Slide 7 shows that at the end of the first quarter we had $40.6 million in cash. We also have access to $230 million on the bank credit facility and $50 million undrawn on an intercompany credit agreement with MPC, which was put in place during the first quarter With $280 million of long-term debt at quarter end, primarily reflects the new borrowings to fund the March 1st acquisition of the additional 13% interest in Pipe Line Holdings. Our current financial and liquidity position should allow MPLX to pursue growth opportunities that expand its growing base of distributable cash flow. Our consolidated total debt to consolidated EBITDA covenant ratio is 2.2 times, well below the maximum allowed at five times and continues to provide great financial ability for the partnership. In closing, Slide 8 highlights our history since the IPO of distribution growth and acquisitions, demonstrating our commitment to add value to unitholders. The graph outlines the consistent quarterly growth in distributions amounting to more than 20% increase over the first quarter of 2013 distribution and a compounded annual growth rate of 18.1% over the minimum quarterly distribution. MPLX remain committed to sustaining long-term distribution growth for our unitholders for an extended period of time and we believe the value proposition for current and perspective MPLX unitholders will continue to be compelling. Now, I will turn the call back to Tim Griffith.
Tim Griffith: Thanks, Don. Randall, with that, we are prepared to open up the call for questions.
Operator: Thank you, sir. (Operator Instructions) And from Barclays, we have Brian Zarahn on line. Please go ahead.
Brian Zarahn - Barclays: Good afternoon.
Tim Griffith: Good afternoon, Brian.
Pam Beall: Hi, Brian.
Brian Zarahn - Barclays: Can you -- I guess on the cost of revenues line item, can you comment on the $4 million reduction year-over-year?
Tim Griffith: I’m sorry, which line?
Brian Zarahn - Barclays: The cost of revenues declined about $4 million versus the first quarter of ’13 on the income statement.
Tim Griffith: I’m sorry. The primary reason for that was lower volumes and pipeline maintenance expense.
Brian Zarahn - Barclays: Okay.
Tim Griffith: I’m sorry.
Brian Zarahn - Barclays: That’s all in the ramp up, we should see that return to.
Tim Griffith: That’s right. So you saw that our volumes were down but there will be a correlation there. And then we have pipeline maintenance expense, was down somewhat but that’s I would say, that was a primarily weather related.
Brian Zarahn - Barclays: Okay.
Don Templin: So that should come back over the remainder of the year.
Brian Zarahn - Barclays: Okay. Any update on maintenance CapEx for the year?
Pam Beall: Brian, we estimate that there will be $35 million, that’s the guidance that we gave back in December.
Brian Zarahn - Barclays: Okay. So, unchanged. So ramp up is a little bit late, so it’s fairly low in the first quarter.
Pam Beall: Yes. First quarter is a tough year to do a lot of maintenance on sites.
Brian Zarahn - Barclays: Okay. And then on G&A, is that a reasonable run rate in the first quarter?
Don Templin: Well, in the G&A number for the first quarter, Brian, is a little over $2 million related to bonus expense from 2013. When we determine bonuses, a major part of the bonus is based upon comparator information. Some of that information was not available till 2014. So there was a pop up or an accrual in the first quarter of ’14 related to 2013’s activities.
Brian Zarahn - Barclays: Okay. And then, what’s your outlook -- I know there was some maintenance, but what’s your outlook for obviously weather but for pipeline volumes going forward?
Pam Beall: Yeah, Brian, we don’t typical provide that kind of forward look. In our investor data pack, we do provide some history. But Marathon Petroleum, our sponsor company, in the first quarter did have some significant refining turnaround activity that we reported on earlier today. But Marathon typically does not provide information related to its turnaround activity until after it occurs.
Brian Zarahn - Barclays: Okay.
Pam Beall: And of course that would be the largest impact on the throughput volume for MPLX since the Marathon Petroleum continues to be our very largest shipper.
Brian Zarahn - Barclays: Okay. And given the high coverage in the quarter and the growth rates at the high end of your range, I assume you’d still be comfortable retaining the excess cash flow, not going above your range on the growth?
Pam Beall: Yes, I think that certainly there is going to be some quarterly variance in that distribution coverage, and so it will fluctuate. And again this first quarter, we had the impact of an acquisition for one month of cash flow and then we also had very low maintenance capital during the quarter.
Don Templin: Yes, and we expect that maintenance capital, Brian, to come back. We know the severe weather particularly in the Midwest impacted our ability to undertake some of those maintenance projects.
Pam Beall: But I would say that the guidance that we’ve given in the past, the 15% to 20% distribution growth rate, we are not -- we haven’t changed that guidance.
Don Templin: And the 1.1 times coverage was still also where we are targeting.
Brian Zarahn - Barclays: Thank you.
Operator: From Wells Fargo we have Michael Blum on line. Please go ahead.
Michael Blum - Wells Fargo : Yeah. Thank you. And just need to clarify, in terms of not having those MPC volume levels. Can you just talk a little bit more about what’s driving that. Is it all just the financial around and also there is anything else fundamentally driving volumes one way or the other in any of the types?
Don Templin: Yeah. Michael, this is Don. The primary driver there is that, our major shipper has been accessing the export market, probably in a more significant way than they originally anticipated, at least in the early years when those agreements were put in place. And you recall that, the commitments are 10-year commitments. So there were some expectations around how you would grow into volumes and changes in refined product movement or placement patterns. But the primary difference right now is that, as I said, our primary shipper is been accessing the export markets.
Michael Blum - Wells Fargo : Okay. And does that change the way you think about future dropdowns in terms of placing assets, obviously you’ve got the remaining interest in Pipe Line Holdings? But placing other assets into MPLX that have a higher utilization, obviously we not, not the way we have think about it?
Don Templin: No. Go ahead, Pam.
Pam Beall : No. I just have to say with the transportation service agreements that are in place, you get the assured cash flow from those contracts. And certainly, as we think about MPLX and its growth, overtime any one individual pipe will be diminish in terms of it overall impact to the partnership.
Michael Blum - Wells Fargo : Great. Thank you very much.
Operator: (Operator Instructions)
Don Templin: Okay. Well, in the absence of question, I guess, we would like to thank everyone for joining the call and thank you for your interest in MPLX. If there are additional questions, you’d like clarification on any of the topics discussed Beth Hunter and Gerry Ewing will be available to take your calls. Thank you for joining us.
Operator: And this concludes today’s conference. Thank you for joining. You may now disconnect.